Operator: Greetings, and welcome to the Mastech Holdings Fourth Quarter 2013 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ms. Jennifer Ford Lacey, Manager of Legal Affairs for Mastech Holdings. Thank you. You may begin.
Jennifer Ford Lacey: Thank you, operator, and welcome to Mastech's fourth quarter 2013 conference call. If you have not yet received a copy of our earnings announcement, it can be obtained from our website at www.mastech.com. With me on the call today are Kevin Horner, Mastech's Chief Executive Officer; and Jack Cronin, our Chief Financial Officer. I would like to remind everyone that statements made during this call that are not historical facts are forward-looking statements. These forward-looking statements include our financial, growth and liquidity projections, as well as statements about our plans, strategies, intentions and beliefs concerning our business, cash flows, costs and the markets in which we operate. Without limiting the foregoing, the words believe, anticipates, plans, expects and similar expressions are intended to identify certain forward-looking statements. These statements are based on information currently available to us and we assume no obligation to update these statements as circumstances change. There are risks and uncertainties that could cause actual events to differ materially from these forward-looking statements, including those listed in the Company's 2012 annual report on Form 10-K filed with the Securities and Exchange Commission, and available on their website at www.sec.gov. As a reminder, we will not be providing guidance during this call, nor will we provide guidance in any subsequent one-on-one meetings or calls. I will now turn the call over to Jack for a review of our fourth quarter and full year 2013 results.
Jack Cronin: Thanks, Jen, and good morning all. First off, I'd like to remind everyone of the sale of our healthcare segment during the third quarter of 2013. Please note that our financial statements have been recast to include the healthcare business as discontinued operations for all periods, including references and comparisons to prior years. Accordingly, all financial results discussed today relate to continuing operations unless specifically noted otherwise. With that clarification out of the way, I’m pleased to report revenues for the fourth quarter of 2013 totaled $28.5 million or approximately 21% higher than fourth quarter 2012 revenues and represented a slight improvement over the third quarter of 2013. This improvement was despite Q4 having one less billable day and a lower utilization factor due to the holiday season. Our IT operations continued to see solid activity levels during the quarter as we grew our consultants on billing for a fourth consecutive quarter. Historically, that consultant growth is negatively impacted in Q4 by high year-end project completions and by activity disruptions due to the holiday season. Despite these negative historical trends, we were able to achieve positive growth in our consultant base during the fourth quarter of 2013 for only the second time in the past eight years. Gross profit for the fourth quarter of 2013 totaled $5.4 million or 19.1% of revenues, compared to $4.5 million or 19.1% of revenues during the same period last year. Our gross profit expansion reflected an increase in billable consultants on assignments in the fourth quarter of 2013, compared to the corresponding 2012 period, as well as a higher average bill rate in the 2013 period. Our gross profit margin percentage was flat compared to the fourth quarter of 2012, as lower direct hire fees in 2013 were offset by slightly higher margins on new contract assignments. SG&A expenses were $3.9 million in the fourth quarter of 2013, compared to $3.2 million in the fourth quarter a year earlier. SG&A expenses represented 13.7% of total revenues in the fourth quarter of 2013, compared to 13.8% of revenues in the corresponding quarter of 2012. It should be noted however that SG&A expenses in the 2013 quarter included a $125,000 related to an appreciation bonus for our tenured employees and $132,000 of additional equity based compensation related to the early vesting of performance shares. Excluding these charges, SG&A expenses as a percent of revenues would have represented 12.8% of total revenues compared to 12.9% of revenues reported in our previous quarter, i.e., the third quarter of 2013. Net income from continuing operations for the fourth quarter of 2013 was $961,000 or $0.22 per diluted share, compared to $744,000 or $0.18 per diluted share in the fourth quarter of 2012 and $999,000 or $0.23 per diluted share in the third quarter of 2013. The additional equity-based compensation and the higher discretionary bonus expense in Q4 2013 impacted earnings per share by $0.04. Also it should be noted that our earnings per share numbers for all periods have been recast to reflect the Company's recent five-for-four stock split. Addressing our full year results, 2013 revenues totaled $106.9 million and represented an 18% increase over 2012 revenues of $90.8 million. Gross profits were $20.1 million or approximately $3 million greater than in 2012. Gross margins were 18.8% for the full year 2013 and were largely in line with last year's 18.9% gross margin performance. SG&A expenses totaled 13.9% of revenues in 2013 compared to 15.2% of revenues in 2012. Our net income from continuing operations for 2013 totaled $3.3 million or $0.75 per diluted share compared to $2.1 million or $0.49 per diluted share in 2012. Discontinued operations in 2013 added additional net income of $536,000 or $0.12 per diluted share, compared to $81,000 or $0.02 per diluted share in 2012. These results in 2013 included a net gain on the sale of the healthcare business of $422,000 or $0.10 per diluted share. Again, please note that the earnings per share number for all periods have been adjusted to reflect the Company's five-for-four stock split. Finally, addressing our financial position, at December 31, 2013, we had cash balances on hand of approximately $400,000, essentially no outstanding debt and over $15.4 million of borrowing capacity under our existing credit facility. This position reflects returning over $2.1 million of capital to our shareholders, being a $0.50 per share cash dividend and investing in operating working capital during the year in support of our revenue growth. And lastly, I think it's important to note that our largest balance sheet asset, accounts receivable, remains a very high quality. During the year, we incurred no bad debt expense, and at December 31, 2013, our accounts receivable day sales outstanding measurement totaled a very healthy 48 days. I'll now turn the call over to Kevin for his comments.
D. Kevin Horner: Thank you, Jack, and good morning, all. First, I would like to comment on our fourth quarter performance and then I'll give you my perspective on the full year 2013 and where I see Mastech headed in 2014. With respect to the fourth quarter, I'm pleased to report another quality quarter of Mastech. Top line growth indicators were very positive during the fourth quarter, year-over-year revenue growth of 21%, a sequential quarter-over-quarter increase in revenue in spite of one less billing day and a seasonally impacted utilization rate in Q4, and sequential expansion of our consultants on billing for the fourth consecutive quarter. From an earnings standpoint, we drove the year-over-year net income growth of 29%, we maintained our gross margin percentage year-over-year with significantly less term placement business, and we continued to reduce our SG&A expense as a percentage of total revenue with the fourth quarter at an all-time low of 12.8% after adjusting for the additional bonus and equity compensation expenses that Jack has already mentioned. I'd like to take a minute or two and discuss our operating philosophy which I hope will add color to theses additional costs. At Mastech, we wake up every morning to create and balance satisfaction across four major constituencies, our customers, our shareholders, our employees, and our field consultants. Throughout all of 2013, our customers were partners in profitability with us. Our role in that partnership was to provide capable fairly priced talent to enable our customers to meet the needs of their businesses in their markets. The men in turn trusted us enough with their talent needs to enable us to grow at 2.5 times the rest of the IT staffing market. In the fourth quarter, we took specific actions to create and balance satisfaction for our remaining three constituencies, our shareholders, our employees and our field consultants. First, in the fourth quarter, we split the stock five-for-four and we paid a dividend of $0.50 per share post split, effectively returning over $2 million in capital to our shareholders on December 20. That's roughly 3.6% return. Also on the same day as we returned capital to our shareholders, we announced an appreciation bonus for all of our tenured employees, including field consultants and sales, recruiting, service and support employees. We wanted to ensure our employees clearly understood that like our shareholders, we value them, we appreciate their contribution to Mastech's success in 2013, and we wanted to share some benefits of our success with them just before the year-end holidays. As Jack reported, the appreciation bonus amounted to roughly $125,000. We believe that remaining focus on all four constituencies is crucial for long-term Mastech success and Mastech performance. Additionally, because of the business' growth performance, that's both top line and bottom line growth in the third and fourth quarters of this year, we had long-term incentive performance shares vest faster than we were originally been anticipating, thus driving us to accelerate some equity-based compensation, that's 123R expense for the accountants in all of us, in the fourth quarter. I think you will agree with me that both of these expenses are good costs for Mastech to have taken in the fourth quarter. They signal a growing healthy company to me and also to the management team and to our Board. Excluding these expenses, year-over-year growth in operating profit would have approximated 43% and would have represented a 6.3% sequential improvement from third quarter 2013's performance. I'd now like to address the full year. If I look back on 2013, I'm proud of what we were able to accomplish as an organisation. First and foremost, we continue to outperform our growth objectives. Year-over-year top line growth of 18% in 2013 surpassed our 2012 annual growth rate of 13% and was more than double our industry's growth rate for the calendar year. It's important to note that staffing industry analyst has consistently reported 7% growth for the IT staffing industry for 2013 and are predicting 7% for 2014 as well. We've reported in these calls that our goal for 2013 was organic growth of at least 1.5 times the market. Needles to say, I'm impressed with our 2013 performance which was 2.5 times the rate of the market, a full percentage, full 100% improvement [plan] (ph) higher than what we expected. Operating profits increased by 57% in 2013 as we held gross margins essentially flat from previous year and continued to lower our leverageable cost structure as an overall percentage of revenue. I'm a pretty simple guy in this space. This part of our business model is very simple, very basic, and critically important to me. I like to think about it this way. Because of our business model and our leverageable cost structure, for every incremental dollar we add to top line revenue, we have more nickels to the bottom line than most others in the industry. This is a simple, critically important differentiator for Mastech. Third, we completed the divestiture of our healthcare staffing segment, which allows us to squarely focus on our core competency, IT staffing. Four, we scaled our recruiting capabilities during the year and continued to achieve incremental efficiency gains via our process improvement initiative in the recruiting space. Fifth, during the second half of 2013, we established a sales initiative focused on new business development. With the recruitment organization that now has a proven ability to deliver for customers and to scale, we will continue to invest in our new client acquisition engine over the next several quarters. We are already beginning to see benefits from this initiative in the fourth quarter of 2013 and we will begin to report on new client acquisition in our 2014 quarterly calls. Sixth, as I mentioned in my last earnings call, but want to reiterate here, we are culturally coming together as an organization. Both our U.S. and India based employees are working together in step with an upbeat attitude and high energy level to deliver quality and value to their clients. And last but certainly not least, for 2013, after adjusting for splits, Mastech achieved capital appreciation on its share price of 257% in 2013. This performance earned us recognition in the Pittsburgh Business Times Journal as the best performing stock of all Pittsburgh based publicly traded companies for 2013. One last time in talking about 2013, I'd like to offer a well-done to our employees and a thank you to our customers and our shareholders for your trust and your confidence. While as a company we don't provide projections or financial guidance to the investment community, I do want to share with you some of my views and expectations for the Company for 2014. First, I'm more bullish than ever about the unique business model that we deploy when compared to most of our public peers. Frankly, I'm convinced that our cost effective centralized model is a better solution for our clients and our prospective clients in today's MSP/VMS driven staffing environment. Accordingly, if you believe that you have the industry's best mousetrap, you should expect superior financial rewards, and that's what I expect us to do in 2014. Specifically, we expect to grow our revenues in global consultant base by 1.5x the industry's growth rate. Staffing industry analyst is projecting 7% in 2014, as I've already mentioned. Everyone can do that math. We will focus on building a new client acquisition engine that can also contribute to our growth objectives for 2014 and beyond. We will continue to scale our sales and recruitment organization, while at the same time capitalising on our leverageable cost structure to drive superior bottom line results. Operationally, we will continue to extract incremental process improvements and productivity gains from both our sales and recruiting organisations. We will continue to upgrade our management team with new talent and new creative thinking. We will rigidly assess the [indiscernible] opportunities would fit our culture and our DNA and we will ensure that those opportunities create value for our customers and our shareholders. And lastly, to continue to focus on our shareholder constituency, we will strive to drive – we will strive to continue to return capital to our shareholders in a prudent way. I don't think cash needs to run the business, cash needs to grow the business acquisitively and our desire to continue to create satisfaction in that shareholder constituency and yield in our stock. In closing, I couldn't be more excited about the future that lies ahead for Mastech and I am confident in our organisation's ability to continue to execute in an extremely high level in 2014. At this point, I'd like to open it up for your questions.
Operator: (Operator Instructions) Our first question comes from the line of Dave Polonitza with AB Value Management. Please proceed with your question.
David Polonitza - AB Value Management: A very nice quarter and a very good year, so congratulations on that. Just had a few questions here. Was this the first time that Mastech has paid an appreciation bonus to its employees?
D. Kevin Horner: I can go back to the point in time when Mastech had been split off as a stand-alone public company, that would be Q4 of 2008, and the answer is, yes.
David Polonitza - AB Value Management: Well then, a lot of good work was done in the year, so that's definitely a good thing. Jack mentioned that there was slightly higher margin on some of the new contract assignments. What's driving this and are the new contracts on the wholesale side of the business?
D. Kevin Horner: I would say there are several things that are driving it. I think the sales philosophy that Scott Aicher has brought to the organization, as you know Scott is new to our team, was new to our team in 2013, and he brought a renewed effort on staying focused on gross margin dollars. That would be number one. Number two, much of those increases have come organically in our existing business. So, I think we've just paid closer attention to detail.
Jack Cronin: Yes, I totally agree with that. I think we're a little more disciplined on what business we go out there and how we price it. I think we've made some improvements there.
David Polonitza - AB Value Management: One other question kind of related to that, Mastech grew revenue about 20% year-over-year, especially in these last two quarters. Is it more of a pricing proposition that Mastech is presenting or is it faster fulfilment or customer satisfaction, because it seems like you guys are just winning a little bit more share than some of your competitors?
D. Kevin Horner: I'll take a shot at this and then I'll open it up to Jack as well. I think it's a combination of both fulfilment and quicker wins along with the way we've priced, but I'll tell you I think that combination is heavily weighted to quicker wins, speed in the market and growth in consultants on billing. I think, you look at our consultants on billing growth and you can see very clearly why we've had the top line growth rates in Q3 and Q4, right. I think Q2 was a 9% sequential growth in consultants on billing. That's a [indiscernible] to what third quarter looks like as you're going to get in our industry.
David Polonitza - AB Value Management: And it looks like, I mean just doing the math, your net consultants grew around 10 or 11 for the fourth quarter, do I have that about right?
D. Kevin Horner: About right, it's around 10.
David Polonitza - AB Value Management: That's all the questions I have right now.
Operator: Our next question comes from the line of James Kahn with Oppenheimer. Please proceed with your question.
James Kahn - Oppenheimer: Great quarter, great year, congratulations again. So, you're such a great little company, I almost feel guilty about sort of [indiscernible] questions but it's my job, so there was a Seeking Alpha piece which talked about the possible risk of some legislation regarding H-1B quotas. Would you like to address that?
D. Kevin Horner: Sure. So again, I think we've chatted about this a couple of times on these calls, so let me try to in a minute or so address the 800 or so pages of the existing immigration legislation that's passed its way through the Senate, if I'm not mistaken. So, we as a company are about 40% of our field consultants are H-1B visa holders. And just as some basic information about the IT marketplace, I had the specifics of the Seeking Alpha article, the IT industry in the United States grew 200,000 jobs in 2013. So, it grew at about a 3x rate of the rest of U.S. industry in terms of job creation. The U.S. colleges and university system graduated about 50,000 people with IT skills and IT degrees in 2013. So, the piece of the immigration legislation that's critically important to us is highly skilled, highly educated workforce, its focused in that space. And you can see that our colleges and university system are not churning out the number of people that we need in order to support the growth of the industry that we founded, we started and we live here in the U.S., okay. We could go for an hour on some of the rationale behind that and I think you guys know my background, I was the CIO of a Fortune 100 company long before I was doing this. So I understand the IT industry and a whole bunch of the contributions that have happened to it from a job's perspective, it's a little better than most. So first and foremost, you have this demand that's been created in the industry where the industry is growing jobs at a much faster rate than the U.S. education system is filling them. So that's point number one, and it's critically important. Secondly, if you examine the legislation that's passed through one side of the house, one side of our legislation today, there are some really interesting things in that legislation that absolutely appeal to Mastech. And so if you read it at a cursory level, you might say, wow, this is really punitive thing for a company who has H-1B visa holders in it, and it can be depending on your business model. Now, our business model, the way we've worked this process forever and ever and ever is very simple. Our philosophy is a pass away the citizenship philosophy. And so, what that means is when we file for an H-1B visa for somebody, in about 96%, 97% of the cases – there are some specific cases where we don't – but generally speaking, 96%, 97% of the time, we are filing for the green card immediately after that, right, which all that says is, our intent is to create a citizen, right. Our intent is to create a highly educated, highly compensated, high tax paying, home-owning, school going to, citizen. That's what we intend to do. You'll see if you read through the details of the bill that's been passed so far, that that business model is encouraged and rewarded as opposed to dealt with punitively, because that's the appropriate way to deal with immigration, that's the way the country has always dealt with immigration over its long history, right. That's the way we do business, okay. So, I will take the legislation that's been passed, and frankly speaking, we'll never get through, it will never get through the house, but we love what's been passed. In fact, I've had – I traded some notes with the author of the article just to make sure that there is clarity there around what's happening and what the facts are. Hopefully that answers your question.
James Kahn - Oppenheimer: It does. Thanks very much. And if I can ask one more question, I love companies that have high insider ownership and your two founders who also have high insider ownership of iGATE represent that. I think that's a good thing. I mean Berkshire Hathaway and a lot of other companies that you could name succeeded when owners and management and shareholders are aligned. And I know that you and Jack sold some shares over the course of the year, which obviously the stock ran up, so that's understandable, but what's your current, including options, how many shares do you own, Kevin?
D. Kevin Horner: That's a good question. If you don't mind, I have to do a little bit of math in my head, and frankly speaking, I haven't personalized the five-for-four split, but I believe it's somewhere around 240,000 and that can be – I love the question, I don't have a bit of a problem being very direct, and in fact, I've had one-on-one conversations with many of our shareholders ahead of the personal actions that I've taken to make sure that people knew what was happening. I have kids in college and my intent was personal cash flow, it was nothing more than that. As you can see it was about 235,000 or 240,000 shares, between options and performance shares, et cetera, et cetera. I still have a significant portion of my net worth tied up in the success of Mastech.
James Kahn - Oppenheimer: Good, I like that. So last question is just one of the things – you've been doing so great, one of the few things I could think of that might go wrong is another recession because your stock got hit in 2008. So I guess traditionally, Mastech has been correlated to the economy somewhat, and the whole industry had. So is there some way that you can come out of that stronger than ever or what's the strategy if we do hit another recession?
D. Kevin Horner: So a couple of thoughts on that. I think, A., number one, let me absolutely positively agree with you, the staffing industry follows GDP, right, and that's not just the IT staffing industry, the staffing industry in total follows GDP. Generally speaking, first business is down at the front end and first one is up, right, because long before people begin to rehire, they begin to bring resources on in a temporary fashion. So, first down, first up. So that part, you're absolutely correct. The second thought, and I want to temper, what you're going to hear now is some of my thinking, not a whole host of detailed planning that the management team and the Board has opted to go do in preparation for the next downturn. So I don't want to confuse anyone that we have done a ton of planning on this, because frankly speaking, we haven't. We're planning for a 2014 that has a 7% growth year in it and that's where our energy is and that's where we're focused on, okay. So, my next set of thoughts are really my own, and I think you can look across every industry and find the companies that in good times and bad have always outperformed, and in some cases that means, have grown. I believe our business, when you get into a marketplace where the abundance of talent exceed the demand for the talent, right, and we are not – which is what a recession is in the staffing industry, right, when there's more talent on the street than there are jobs to fill – I believe our business model works in that situation better than the majority of our publicly traded competitors. Why do I believe that? Number one, our ratio of recruiters, the feet on the street, the people who are out there creating relationship with talent and building relationships with the talent and maintaining relationships with the talent, I don't know the exact ratio, it's bigger than 2 to 1 the rest of our public peers, we probably have at least twice as many recruiters as the rest of our public peers, in some cases it might be up to four, right. We just have more people on the street building and maintaining relationships with talent. So, I think that advantages us, both in good times and in bad, right. Secondly, we have stayed focused on our cost structure, right. We have never not stayed focused on our cost structure and we – as I've tried to say it in my little chat, for every incremental dollar of revenue we drove to the top line, we drove more nickels than just about everybody else, and that's because our cost structure is in a place that I think is probably enviable from our peer group. So 19% gross margin, we can make really good money. And on the other side, you look at our publicly traded peers, what happens to their bottom lines at gross margins at 20% or below, and I think you'd find real problem. Well, guess what? We win in that game, we win in that market space. So I think the lost cost guy has a real advantage in both the upside and in the downside. And I think as some of you know, I've spent 30 years inside of Alcoa, right, and one thing that I learned was what happens inside of a commodity business in good times and bad. And please don't hear me suggesting that I think our business, this business today, is a commodity business, it's not, not by any way, shape or form. However, the lessons I learned in the commodity business about managing cost, boy, those lessons translate really directly to this one. So I think those things are the things that carry us through the downtime.
James Kahn - Oppenheimer: Thanks very much.
Operator: Thank you. Our next question comes from the line of Michael Conti with Sidoti & Company. Please proceed with your question.
Michael Conti - Sidoti & Company: So on the gross margin, 19.1%, improvement from the third quarter of 2013, can you just talk about I guess more or less the client mixture that you're seeing there, and if any new sizable clients were added, because I mean definitely with the slight improvement, you added more towards the retail side?
D. Kevin Horner: I would say that we're still growing more on the wholesale business. So I mean if you're growing more on the wholesale business and your margins are a little bit lower on the wholesale business, you would expect a margin decline, but within each channel, our margins are somewhat strengthening. So, the weight of our – the shift in our revenue mix is basically shaking out as a pretty much push. Does that make sense?
Jack Cronin: Because we're more disciplined in pricing.
D. Kevin Horner: Because we're more disciplined in pricing, yes.
Jack Cronin: Across both channels.
D. Kevin Horner: So, both channels seem to be, from an overall gross margin perspective, trending up a bit as contributors, but negativity being impacted by the shift in the mix of our business.
Jack Cronin: And the initiative that we talked about, that we'll now begin to report on quarterly 2014 around new client acquisition, is all about acquiring more new direct clients.
D. Kevin Horner: Yes, correct.
Jack Cronin: Which would be, Mike, more retail based clients as opposed to wholesale based clients.
Michael Conti - Sidoti & Company: Perfect. And who was your – the top 10 clients by revenue for the fourth quarter?
Jack Cronin: We have that one. Jack here. We can give you the ones that were over 10% because that's [indiscernible] but Accenture – for Q4, Accenture was our largest client at 12.3% of revenue. All other clients were under 10%.
Michael Conti - Sidoti & Company: Okay. And I guess just speaking about with IBM on their earnings call last week with their smart initiative in their business analytics, they are increasing their revenue forecast by 25% for 2015, I mean how will that play to Mastech's advantage?
D. Kevin Horner: The talent that IBM will need – as you know, IBM is, and we've reported it now for the last several years, IBM is a large client of ours. They're just not 10% of our revenue at this point in time but they are still a really important, really large client of ours. We play – the space inside of IBM where we play for resourcing help, would include those final resources that are required to help on the analytics front. So yes, I would think that that fits squarely inside of our wheelhouse.
Michael Conti - Sidoti & Company: Okay. And I guess lastly, on the last earnings call, you talked more about you were looking at a couple of businesses to acquire. Any update on that front for the fourth quarter?
D. Kevin Horner: There was no new news there, Mike. In fact, we are probably going to look to go at this acquisition process in a little different way than the way we approached it in 2013. So we're right now in the process of speaking to a couple of firms that can help us on the buy side, and we'll pick one of those here in the first quarter and approach the buy side a little differently than the way we have so far, because we have not been successful.
Michael Conti - Sidoti & Company: Okay, perfect. That's all I had.
Operator: Our next question is a follow-up from James Kahn with Oppenheimer. Please proceed with your question.
James Kahn - Oppenheimer: I'm sorry, I forgot to ask this before. Kevin, on your last conference call, you said something that really fascinated me. You said that, our focus through 2012 and through the first quarter of 2013 has been to train and develop our offshore recruiting model, so we spent a lot of time and energy proving that model out and ensuring that it was capable and scalable, and so what you see us telling everyone in the third quarter is, we are now willing to invest further in that model on the sales side to go bring additional new large consuming clients into our business model. You said that in response to a question about how you were going to diversify. So I just was wondering if you could update us on that effort.
D. Kevin Horner: Yes, so where we are, and James, this is an interesting one, we debated this one internally, philosophically around when do you begin to talk about a new client, right. And so, do you talk about a new client at the contractual level or do you talk about a new client when you can claim revenue, okay. My personal view is, I'll take the conservative route there and I don't want to talk about a new client until we actually have consultants on billing and an AR stream, okay. I am willing, in the answer to your question, to say, since that third quarter call which happened in late October, so in the 60 days or actually 90 days now, I believe we have contractual arrangements with five new direct customers, right. I think we have our first consultant on billing with one of them – our first deal for a consultant we did last week, okay. So, James, that's why in my notes this time I said, we will be prepared to talk about that new client acquisition process and report on it in a more sophisticated way throughout 2014, because I personally don't like to talk about contracts.
James Kahn - Oppenheimer: No, I understand that perfectly. What I was saying was, what I took from that was that, you had been working really hard but there was nothing to show for yet because it was preparatory and that soon all that hard work was going to start to pay off and give almost visible results. It doesn't have to be this quarter or next quarter, I'm just like, is that a correct assumption?
D. Kevin Horner: That's a correct assumption and that's our plan, but I think you guys probably know this industry every bit as well as I do, that it is really hard to get a contract with a new customer, and as soon as you do that, then the really hard work starts, right, because the really hard work is about educating your organization, both your sales team and your recruiting team, on how the customer works, on building relationships with customers, and then really understanding their talent needs, so that you could rapidly fill.
Jack Cronin: And you know, James, I think you're right on it. I think if you look at that initiative and you look at the payback, we have no payback right now. I mean we're negative. But in 2014, we're pretty confident that that's going to be a positive payback.
James Kahn - Oppenheimer: Thank you.
Operator: Thank you. Mr. Horner, there are no further questions at this time. I'd like to turn the floor back to you for any closing comments.
D. Kevin Horner: Great. Listen, I appreciate everyone's time and attention. So, I would like to thank everyone for joining the call today. We look forward to sharing our first quarter 2014 results with you in late April, and depending on where you are, here in Pittsburgh I think the temperature is about zero, so for all of you who are in the Northeast, stay warm. Take care.
Operator: Thank you. This concludes today's teleconference. We thank you for your participation. You may disconnect your lines and have a wonderful day.